Operator: Greetings and welcome to the Vuzix Third Quarter 2020 Financial Results and Business Update Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this call is being recorded. Now I would like to turn the call over to Ed McGregor, Director of Investor Relations at Vuzix. Mr. McGregor, you may begin.
Ed McGregor: Good afternoon, everyone, and welcome to the Vuzix third quarter 2020 financial results and business update conference call. With us today are Vuzix CEO, Paul Travers; and CFO, Grant Russell. Before I turn the call over to Paul, I would like to remind you that on this call management's prepared remarks may contain forward-looking statements, which are subject to risks and uncertainties and management may make additional forward-looking statements during the question-and-answer session. Therefore, the company claims the protection of the Safe Harbor for forward-looking statements that are contained in the Private Securities Litigation Reform Act of 1995. Actual results could differ materially from those contemplated by any forward-looking statements as a result of certain factors including, but not limited to, general economic and business conditions, competitive factors, changes in business strategy or development plans, the ability to attract and retain qualified personnel, as well as changes in legal and regulatory requirements. In addition, any projections as to the company's future performance represent management's estimates as of today, November 9, 2020. Vuzix assumes no obligation to update these projections in the future as market conditions change. This afternoon the company issued a press release announcing its financial results and filed its 10-Q with the SEC. So participants in this call who may not have already done so, may wish to look at those documents, as the company will provide a summary of the results discussed on today's call. Today's call may include non-GAAP financial measures. When required, reconciliation to the most directly comparable financial measures calculated and presented in accordance with GAAP can be found in the company's Form 10-Q filing at sec.gov, which is also available at www.vuzix.com. I will now turn the call over to Vuzix' CEO, Paul Travers, who will give an overview of the company's operating results and business outlook. Paul will then turn the call over to Grant Russell, Vuzix' CFO, who will provide an overview of the company's third quarter financial results. We will then move on to the Q&A session, after which Paul will provide some closing remarks. Paul?
Paul Travers: Thank you, Ed. Hello, everyone, and welcome to the Vuzix Q3 2020 conference call. Vuzix is entering one of the strongest and most promising periods in our history in terms of Smart Glasses demand, product line strength, OEM developments and the significant advancements being made on our next-generation technology. We are executing on many fronts and we have a healthy balance sheet to support our efforts. The increase in Smart Glasses demand, which began in this spring, strengthened further in Q3, as our Smart Glasses sales were the highest we've yet achieved as an enterprise wearable computer supplier, exceeding our previous record set in Q2 of this year. Our Q3 sales of Smart Glasses totaled $2.7 million, up 15% sequentially and 156% on a year-over-year comparable basis. And these record sales were achieved in a quarter that included the summer months, which is often a slower period for many enterprise customers in the U.S. and Europe due to planned vacations. We are pleased to see our products being used across our expanding client base to assist customers in solving the complex issues associated with today's business environment. Demand for our products has been and continues to be broad-based across numerous market verticals and around the globe, most notably in healthcare, field service, manufacturing and logistics. And the momentum behind our core enterprise Smart Glasses business has not slowed. During the month of October, Vuzix recognized a single-month record for Smart Glasses revenue, outpacing our previous record. We're seeing replenishment orders from resellers, follow-on orders from direct customers and a continued stream of inbound sales from new customers, as our core Smart Glasses business continues to accelerate across the globe. As a result, we believe we should be in a position to deliver yet another record quarter of Smart Glasses product sales in our final quarter of this year. At the same time we continue to be successful in expanding the breadth and scope of our OEM and engineering service engagements, which currently total five with further opportunities visible on the horizon. I'd like to spend a moment to drill down a little deeper on our Smart Glasses sales trend. Slide five depicts our quarterly Smart Glasses sales over the past four years breaking out notable single orders in three instances. Over the last four years our Smart Glasses sales base business averaged approximately $1.2 million per quarter with the majority of the sales coming from customer pilots. Over the last few quarters, we have witnessed many customers both large and small moving faster between pilot evaluation and deployment into their operations. To highlight this acceleration further, Vuzix' October Smart Glasses revenue alone was comparable to the $1.2 million we used to do over an entire quarter. While the revenue growth we have experienced over the past several quarters have been broad-based and not attributable to any one or two large accounts. We see the potential for significant orders from large accounts on our horizon which of course we remain focused on closing and announcing. As you can see our customers are successfully deploying our products to become more competitive and adjust to the new normal. We are just getting started with broader smart glasses adoption by enterprise users. And as such it begs the question for so many organizations still trying to figure this out. Why send the person when you can send a pair of Vuzix Smart glasses? Deploying Vuzix Smart Glasses in enterprise is safer, cheaper, faster and in many respects a better way of doing business. We have been saying this for some time now and the pandemic has forced the point. Vuzix now feels what we believe to be the strongest lineup of smart glasses solutions in the market not only in our own history, but more importantly across the competitive landscape. Our three current leading solutions; M400, the newly introduced M4000 and Blade upgraded represent a range of competitive price points form factors and functionality and it is safe to say that we see customer interest and demand for each continuing to build. The Vuzix M400 which accounted for the majority of our smart glasses sales in Q3 has clearly become the workhorse for a steadily growing list of enterprise customers. The M400 was built to capture and broadcast industry-leading 4K 30-frame per second HD streaming video for field service workers with this image stabilized and autofocusing camera and the OLED display delivers superb contrast with crisp video to its users. And with further advanced voice controls now built into the base OS it has become a completely hands-free device for many applications. Our M400 Smart Glasses as a scalable platform continues to mature further differentiating it versus other vendor solutions. During the first half of 2020, we added support for several popular video conferencing platforms such as Zoom and Zoom for Healthcare, Skype for Business and Cisco WebEx teams and we have planned support for a number of other popular video conferencing platforms that are currently in the queue. Most recently, we rolled out Android 9 across our M400 and M4000 devices which brings with it a series of improved features and functionality for enterprise customers including improved WiFi and Bluetooth connectivity, enhanced security, improved foreign language support to support a broader global customer base and increased video recording speeds of up to 60 frames per second of 1080p video. resulting in additional stability and usability for our enterprise customers. It is the highest level of Android currently running on any pair of smart glasses in the industry. The Vuzix M4000 is a very exciting sister product for the M400 built on the same XR1 a core arm processor from Qualcomm and it is now in volume production and shipping to customers. The optically see-through M4000 gives our customers not one but two enterprise workhorse products to choose from. The 5000-nit display of the M4000 makes it not only one of the brightest optical see-through devices on the market, but also extremely versatile both indoors and out. The M4000 features an image size, field to view that is nearly double that of the M400 and since it is see-through offers a non-accrued view for the wearer making it easier to see their work and surrounding safely. The M4000 is proven to be very complementary and virtually fully compatible with the M400 on top of its enhanced features and provide a 1-2 punch with an enterprise across healthcare field service manufacturing and logistics to meet different customers' needs. The Vuzix Blade upgraded version, includes a new built-in stereo audio feature as well as an autofocus camera both popular requests from our existing customers and is now also in volume production and shipping as of the last week of Q3. Feedback from our enterprise customers to-date has been excellent, and we have received indications that a number of our larger customers across several industry verticals are looking to roll-out the new blade to support their operations in pharma, field service, manufacturing and logistics. And as competitive as all these products currently are, we are working to push the envelope even farther with our next-generation Smart Glasses solutions that I will comment on a bit more shortly. COVID-19 has forced changes in the way business is getting done across many organizations. And as a result, we are seeing our business grow. We expect much of this change to last beyond the pandemic and that our products will be more broadly adopted for the long run. COVID prompted new ways of doing business in many respects which are becoming the future of how things will get done. Using Smart Glasses is not just about solving the short-term COVID safety problem, but also about how to do business more efficiently. There can be cost and time efficiencies and they are much greener for the environment to use over physical travel. And now with the proof in the pudding it seems broad continued adoption is inevitable. Vuzix Smart Glasses have been proven to be a successful tool for our end customers to combat and conquer the operational challenges that have been exacerbated by the COVID-19 pandemic and we believe adoption will continue expanding as more organizations see the wide array of benefits they offer. Salesforce's CIO recently noted that the pandemic has opened people's minds to change and that his firm is seeing CEOs becoming ambitious about putting together plans to not only ride out the storm, but actually emerge from it stronger and more competitive. At the same time, global research and advisory firm Gartner Group recently stated that, "AR has reached maturity by several measurements and has become an industry-proven technology that executives can safely invest in to improve and innovate their business." Most importantly they also offered, "AR is no longer considered an emerging technology and is now ready to move from pilots to productivity." We at Vuzix are witnessing the shift firsthand and the trend is gaining momentum. Three specific verticals within enterprise that continue to accelerate their adoption of Smart Glasses since the COVID-19 pandemic began in February include field service manufacturing and healthcare. Within each of these market sectors we continue to see growing acceleration in adoption driven by business continuity plans and the urgent need to deliver remote expertise without having to send personnel on site. In manufacturing and field service we have companies like Clorox that have deployed the M400 smart glasses across their operations to support manufacturing operations by connecting plant maintenance managers with operational staff on site. Clorox is also sending Vuzix Smart Glasses to facility sites to assist Ernst & Young and the performance of quarterly audits resulting in dollar savings on travel and time. Other deployments we recently announced in this space include those made by respective industry leaders such as Optus, SHL Group, Valmet and others. Look for more in this space from us in the upcoming months and quarters. One of the hottest areas recently is healthcare. We have companies like Medtronic using our smart glasses to support medical equipment and technicians during surgery. Healthcare usage elsewhere includes among other things; remote patient care, telemedicine, training and education, medical equipment servicing and surgery assistance all driven by the top-notch performance of our M400 Smart Glasses coupled with a variety of software applications being sold by Vuzix and our partners. The M400 smart glasses are now also being used on the hospital floor to support virtual rounds, in ICUs for patient monitoring, in operating rooms to perform guided surgeries and for training purposes in surgeries such as heart and gastrointestinal as well as clinical interaction with various medical professionals and patients. Our list of announced customers in this space continues to steadily grow. In one example Vuzix partners in Malaysia recently completed a successful clinical study showing that our M400 smart glasses can be used as a successful tool to conduct rounds to neuro critical care patients during the COVID-19 pandemic and they are expanding across the Asia Pacific region with their product offering. In another, Ohana One has deployed dozens of M400 smart glasses and recently kicked off clinical studies at more than 15 hospitals worldwide to review mentor/mentee surgical site training utilizing Vuzix smart glasses. We're excited to support Ohana One to expand this program with a goal of over 1,000 mentor/mentee surgical pairs across the globe as they continue to scale. Our partner Pixee Medical continues to expand their distribution channel and perform successful knee replacement operations using our M400 smart glasses as the primary AR navigation tool across Europe, while at the same time pursuing 510(k) device clearance for the U.S. market. Beyond these surgeries which total 600,000 operations annually in the U.S. alone, Pixee has its eyes on enabling use of smart glasses in shoulder surgeries as well. Just last week we also announced that Istanbul University, Faculty of Dentistry is using the M400 to support remote student learning and that Newcastle University in the U.K. is using M400 to support its blood cell in COVID-19 research. Our customer adoption list in the health care vertical just keeps growing and growing. I'd like to give you a quick update on Verizon, which remains one of our strategically important partners. We are continuing to work with them to address key market verticals that can leverage their 5G network alongside Vuzix smart glasses to drive increased efficiencies and capabilities. The EMS product bundle we first announced in July that is being co-developed by Verizon to put together a world-class turnkey solution centered around 5G continues to progress well. This bundle of hardware and 5G services is designed to bring situational awareness technology to public safety and first responders. This EMS solution is currently being prepped for customer’s pilots and feedback ahead of a nationwide rollout in early 2021. Verizon could well become a significant smart glasses distributor for Vuzix within the next 12 months and we hope to share more on this as well as other exciting developments with them as they materialize and we are able to share. Vuzix is also engaged with several other significant telecommunications providers domestically and internationally around the globe. Working together with these carriers on producing revenue-generating services around 5G focused on B2B, B2C and the likes. Our OEM and related engineering services business is also gaining momentum this year as our customer portfolio continues to expand and moves towards anticipated volume production programs. We have formally announced four engagements and have several others in the works. The multi-year revenue potential associated with volume production for these programs related to aerospace and defense, healthcare and the [Technical Difficulty] some of these companies are when we can, but I thought in the interest of clarity, I would try to add some additional color to what these programs are. Slide 9 lays out the time lines and progress points for these OEM engagements. Partner one is a global aerospace and defense contractor. We're currently in the process of finalizing a supply agreement with this partner after completing four phases of development. The supply agreement being negotiated is related to volume production of a customized head-mounted display waveguide and HD display engine for both commercial aviation and defense usage with initial deliveries expected to commence in the first half of 2021. Partner two is a major U.S. defense contractor, and in October we announced a Phase 2 follow-on project to further develop a customized waveguide-based head-worn AR display engine with most of this phases work expected to be completed before the end of the year. We anticipate the successful completion and delivery of Phase 2 to either lead to further NREs for subsequent refinement or straight to an eventual production program. Partner three is a major international defense contractor, and in September we announced a Phase 1 development agreement to build a customized waveguide solution with most of this work expected to be completed before the end of the year. Two additional development phases are currently being contemplated before an accepted final product design would be expected to lead to a volume production order. Partner four is a U.S.-based medical partner and we announced in October that we are developing a customized head-mounted waveguide display-based system for assisting cancer surgeries. Phase one is expected to be completed by the end of 2020, with expected further nonrecurring engineering revenues, if awarded by the customer in subsequent phases before an accepted final product design and move to volume production orders. Please note that no engineering services revenues from these four programs were recorded in our third quarter results. Partner five is a commercial firm with which we are engaged for a waveguide and projection engine development project related to next-generation display technologies for both Vuzix and potential third-party OEM customers. Beyond these efforts, we have a growing list of other projects that continue to progress towards finalize statements of work for new programs. Of course, we look forward to announcing further details and developments on these upcoming as well as existing opportunities when we can. We continue to grow our intellectual property portfolio, which now consists of over 179 patents and patents pending, up from 90 patents and patents pending three years ago and up from 166 in just the previous quarter. Our recently granted patent related to a near-eye display with self-emitting micro LED display engines is a good example of the progress we are making towards establishing Vuzix as the preeminent supplier of next-generation solutions for use with and around micro LED displays and other advanced display engine technology. In September, we released a video about our next-generation smart glasses which we plan to bring to market within the next year. Enterprise partners and customers are asking, when they can have it. Interested players in the AR consumer space are asking, how did we do it and consumers are asking, when can we buy it? If you haven't had a chance to view this video, which can be found under the Technology tab on our website, I would encourage you to do so as it provides a true glimpse of the future of smart glasses and our continued leadership position within the space. Although I can't offer too much in terms of details due to competitive reasons, I can say this next-generation tech should be slated for market introduction during the second half of 2021. We expect this will be the first time any company in the AR or wearable computer space has figured out how to fit as they say 10 pounds in a 5-pound sack when it comes to highly functional fashion-forward smart glasses. Similarly on the OEM side of our business, our broad expertise and capabilities regarding the manufacture of optical waveguides and display engines, along with our status of being one of the few, if only U.S. manufacturers of such technologies should continue to serve as a major differentiator for us. This has been well evidenced by the growing engagements we have had in this space thus far this year. I'd like to now pass the call over to Grant, so he can review some aspects of our third quarter financial results. Grant?
Grant Russell: Thank you, Paul. As Ed mentioned, the 10-Q we filed this afternoon with the SEC offers a detailed explanation of our quarterly financials. So I'm just going to provide you with a bit of color on some of the numbers. Our third quarter revenue rose 140% year-over-year to $2.8 million, largely due to increased sales of smart glasses which increased 156% to $2.7 million in the quarter. Sales of our M400 smart glasses accounted for the majority of this increase, a product that was not yet in full volume production in the comparable 2019 period. There was an overall gross profit of $0.3 million for the three months ended September 30, 2020, as compared to a gross loss of $0.2 million for the same period in 2019. Subtracting from our Q3 2020 gross profit figure was a $0.2 million inventory obsolescence reserve taken for unique smart glass component inventories that are no longer expected to be utilized. On a product cost of sales basis only, product direct cost declined to 53% of sales in the 2020 period as compared to 64% in the prior year's period. The change is primarily the result of higher margins turned on the M400 versus the M300 series in the prior year's period which had begun to be discounted with the pending arrival of the newer M400 model. Manufacturing overhead costs, while increasing in absolute dollars by 8% for the three months ended September 30, 2020 over the 2019 period decreased as a percent of total product sales to 17% from 40% in the same period of 2019. Clearly, as we continue to see growth in our sales, these costs as a percentage of product sales should decrease further. R&D expense was $1.9 million for the three months ended September 30, 2020, compared to $2.3 million for the 2019 period, a reduction of approximately 20%. The decrease in R&D expense was primarily due to reduced external consulting fees related to the Blade software development programs and a small reduction in overall new product, research and development costs. Selling and marketing expenses for the three months ended September 30, 2020 was $0.9 million, an increase of 21%, largely due to non-cash stock-based compensation expense. This was a direct result of the cash salary reduction program we implemented in May 2020, where for every $100 decrease in cash wages, the employees receive 150% of that amount as a stock award, so hence, a net increase in non-cash stock compensation across all our operating costs. General and administrative expense for the three months ended September 30, 2020 was $1.6 million, an increase of 6% over the 2019 period largely due to non-cash stock-based compensation-related expense. Even with our increase in total sales versus the comparable 2019 period, our expense control efforts continued to be apparent in the quarter, as total operating expenses excluding depreciation, amortization and patent impairment charges declined 5% to $4.4 million. We expect continued comparative 2020 versus 2019, quarterly operating expense reductions going forward, especially with reduced travel and events costs contributing to our overall cost control efforts. The net loss for the three months ended September 2020 was $4.8 million versus a net loss of $5.5 million in the same period of 2019. The common share loss after accrued dividends were $0.13 versus an $0.18 loss for the same period in 2019. Now on to some balance sheet highlights. Our cash position, as of September 30, 2020 was $24.9 million and we had a net working capital position of $30.1 million. For the three months ended September 30, 2020, the net loss after adding back non-cash operating expenses were $3 million versus $4.5 million in the same period of 2019. Cash used for investing activities during the third quarter was $0.5 million as compared to $0.2 million for the prior year period, as our investments in manufacturing, new product tooling and software licensing fees increased with the introduction of the M4000 and Blade upgraded models at the end of Q3 2020. Investing activities for Q4 2020 should not exceed our Q3 levels. With that, I'd like to turn the call back over to Paul.
Paul Travers: Thanks, Grant. Our fourth quarter is off to a strong start in terms of Smart Glasses revenue through October. This momentum, along with the recent introduction of our new products is expected to continue and ramp further. We're in a position to not only deliver yet another quarter of growth in our Smart Glasses revenue but also set a new full year Smart Glasses sales record. It is encouraging to see that the growth of our business in 2020 is broad-based and has not been tied to any single large customer. We like the trend we are seeing here across our customer base and the ROIs they are achieving, and believe enterprise behaviors appear to be changing permanently and for the better as a result of the pandemic. What we are finally witnessing firsthand is the birth of a new industry sector within technology one that Vuzix has pioneered from the beginning and invested heavily in to build a valuable IP portfolio that positions Vuzix to win big over the long haul. Vuzix is and will continue to be a leader in a market that is expected to grow into a multibillion-dollar industry over the coming years. With that said, I'd like to now turn the call back to the operator for Q&A.
Operator: Thank you. [Operator Instructions] And our first question is from the line of Christian Schwab with Craig-Hallum Capital Group. Please proceed with your question.
Christian Schwab: Hey, good afternoon, guys. Can you talk about OEM and engineering services? Would you expect a recovery in that in Q4? Or -- and do you have a visibility on when you would expect that to be more material again?
Paul Travers: Yes. Christian, hello. The Q4 numbers we've already got a reasonable chunk of business that's pretty similar to what was in Q2 in the hopper. But we expect the bulk of it should deliver here in Q4.
Christian Schwab: Okay. Great. And then just from a big picture I appreciate the slide and kind of walking through some of the bigger things that you guys have talked about as well as talking about Verizon. How should investors bracket the opportunity from a revenue perspective? Not next quarter or the quarter after that, but in the next two to three years should you be modestly successful, can you give us a range of potential outcomes and what it could mean to the top line?
Paul Travers: Yes. First, how it might unfold. I think you'll see like imminently even more and more coming out of our friends over Verizon has this program starts to unfold for them. They've got a lot of work done already. Their 5G network is already around. And their efforts around what they're doing with Vuzix and there's I think six total companies in the cohort program that's like really moving nicely. It's right on track. I think you'll see knock on wood if it's unfolds if it looks at Q1 will be the beginnings of a real sort of rollout of these efforts and the numbers could be in the thousands to tens of thousands of pieces kinds of thing over that period of time you discussed.
Christian Schwab: Okay. Great. And then taking for the Verizon color. If we just kind of talk about the couple of defense contract opportunities that you have -- I think there's three separate ones that you highlighted. Can you give us an idea is that thousands or tens of thousands over the same type of timeframe as well?
Paul Travers: It should be in the tens of thousands over the next two to three years. Two of them each comes in the same bucket.
Christian Schwab: Fantastic. Great. I don’t have any other questions. Thank you, guys. Good quarter.
Paul Travers: Thanks, Christian.
Operator: And our next question comes from the line of Jack Vander Arde with Maxim Group. Please proceed with your question.
Jack Aarde: Great. Thanks, guys. Hi. Thanks for taking my questions. Paul, you mentioned record-high revenue of smart glass product sales in October. And I think you alluded to it's comparable to like a full quarter's worth of $1.2 million or so of revenue. That gives me a good sense as to what you mean by the October level record. And then I also noted that you mentioned M400 represent the bulk of the third quarter product sales revenue. So what I'm wondering is can you provide any color around which smart glasses represent the bulk of this October product sales record specifically?
Paul Travers: Well, we do have some 4,000 in the mix and the Blade in the mix. That said, right now the M400 is designed into so many programs. You saw the medical slide. I mean there's so many companies that are using that thing, but there's a nice demand for it. People really like the 4,000, but we're just getting started with it Jack. So I think if you for competitive reasons we don't like to share too much of how this mix works. I mean our next-generation optical systems we think give us a big edge. And I think you'll see over time, the 4,000 start to become a significant contributor. That would be the Blade in pharma in those kinds of places. But in October, it's still right now the 400 is the lead dog in the race I guess is a way of putting it.
Jack Aarde: Okay. And that makes sense. That's helpful. And then if I could just maybe dig in a little bit for the remainder of 2020 here and then looking into 2021. Given all these the M4000 upgraded void just began shipping at the very, very end of September. I guess what would you expect for maybe like a normal seasonality now as you look, I mean there is no normal seasonality per se. But looking into the first half of 2021 even if I can get ahead of myself with these new product introductions that have higher ASPs and more applications with them and you've also expanded your geographical reach would you expect maybe a similar seasonal pattern? Or would you expect a stronger first half than typical because of these new products?
Paul Travers: So we - first of all with the way the world is right now Vuzix is not really seeding the seasonal thing. I mean I don't know what to expect here for Christmas. And there's always those holiday things that happen. But the fact of the matter is the world is trying to figure out how to go back to work. And at the moment COVID is winning. And so we're not seeing the seasonalness as much as how do I solve these problems. And the optical see-through systems that we have offer certain advantages, in some cases much lower error rates when you're using them because you see the real-world and the virtual information at the same time. That said those advanced capabilities take a bit more time to implement. On the flip side of the coin that waveguide right now has a -- it's a double the field of view of the M400. All that said, we're designed in on all these programs on the 400. I think what you'll see is the 4000 would be -- it will continue to grow. There's an interesting upfront demand for it already. And as people are using it the feedback we're getting is it's awesome, but it is not necessarily looking to replace the 400 at this point just yet. It has its own sort of places that it's being successful in. I think in the long run optical see-through systems are going to be the best way to do this. And so as 2021 unfolds you might start to see the 4000 coming more and more online and catching up a bit to the 400, but I think both of these products have a long ways to go. It's just getting started. Sorry I know that's kind of a roundabout but --
Jack Aarde: No, fair enough. It's helpful. Understood. And then just the last question is, I'm wondering if you can maybe further fine-tune or be more measured as we talk about the engineering services revenue just because that can cause any quarter to be up or down relative to estimates or outlook. So with -- I think you have about $700,000 of contracted revenue from these OEM engagements and you think the bulk of it is going to hit the fourth quarter. What does that mean? I mean let's say, it's $500,000 or something in the fourth quarter. What does that mean in terms of the four quarters in 2021? Is there a replenishment though? Does it just depend on as you reach a new phase with the other contracts? Or is it actually $700,000 is the entire contract for these five arrangements?
Paul Travers: No. Some of these programs will evolve into significantly higher engineering services revenues and some of them should start to roll into actual production programs. But in 2021 some of these programs if they come through like we think they will it could be in the millions potentially worth of engineering services efforts through the year.
Jack Aarde: Terrific. That’s helpful. That’s all of my questions. I will go back in queue.
Paul Travers: Thanks Jack. Thank you.
Operator: And our next question is from the line of Jim McIlree with Bradley Woods. Please go ahead.
Jim Mcilree: Yes, thanks and good evening. Grant, it seems like engineering services are going to increase this quarter relative to Q3. And if that's the case I'm assuming that some of the research overhead that you have gets allocated to those services and so you could have a decline in R&D this quarter relative to Q3. Is that scenario correct?
Grant Russell: Yes, you're correct. I mean it won't be huge because the projects probably no more than -- less than 25%, 30% is internal labor and the rest is out-of-pocket costs.
Jim Mcilree: Got it. Great. And then based on that Slide 5 from the deck, it seems like the engineering services this quarter could be as large as or close to what you did in Q2. Is that -- am I in the ballpark there?
Paul Travers: Yes, you are Jim.
Grant Russell: Yes.
Jim Mcilree: Okay. Great. Paul you indicated that the M4000 is in part of the October revenues and I'm assuming it's small. But can you talk about production? Just remind us where your bottlenecks might be and/or what potential parts you have to have enough of? Just -- can you just update us on the M4000 product manufacturing scenario?
Paul Travers: Jim, we have some inventories if you look. I think we're in pretty good shape. I will say that things like waveguides we make here. But our waveguide production, even though this is a brand-new waveguide, and it uses a brand-new kind of grading structure within the waveguide, we're coming out beautiful. We're yielding nice. So we're not having problems on waveguides. It is true that a brand-new product takes a little bit of time to come up to curve, from a production perspective. So, it's gated a little bit by our learning process, is one. And number two, we are taking extra care on these first units that go out the door. You don't get many first impression. So, I will say when the numbers, if they're cranking up to 10,000 per quarter and those kind of things, Vuzix will have inventory issues that don't need to be getting in the queue. Some of the stuff like CPUs and cameras take more time to get in than others and those kinds of things. But our current run rates and stuff Vuzix is in really good shape on production.
Grant Russell: Yes, Jim 90% of the electronic components in the 4000, are common to the 400. So we can literally swing back and forth with whatever we want to build. And the Cobra II display engine that's in the M4000 is -- had its home in the Blade. So we're pretty good at that. The amount of new stuff that hasn't been tested is pretty minimal. So we're pretty confident that we can manage production to meet demand.
Jim McIlree: That's great. Thank you. And on the $1.2-ish million in October Smart Glass sales, I would love to multiply that times three to get a quarterly number. But, we've got Thanksgiving and Christmas holidays. Do those typically have a big impact on shipments or sales or activity?
Paul Travers: There's no doubt that December slows things down a bit and November does a little bit also. I will say that so far November is not doing bad. And sometimes there's year-end dollars that folks like to get in the queue to make sure they get it spent before year-end and the like. So it's really hard to say just yet Jim on.
Jim McIlree: But I'd like to think now with the two more months for a full quarter of M4000 sales in the Blade upgraded that -- which were in a big contribution in October that maybe that's the numbers you're suggesting could be feasible or better.
Paul Travers: Yes. Just to make sure you heard that right. They were not a big contributor in October.
Jim McIlree: Yes. Sorry if I got that wrong. Yes, definitely not a big contributor.
Paul Travers: We didn't grow.
Jim McIlree: I got that. Yes. And then my last question is the prior question or the first question on Verizon. I know you're optimistic on it, but isn't it reasonable to think that the rollout is going to be measured that is Verizon will find the customer, the customer will try it they'll do it in small volumes and then they'll roll forward? So those big volumes you're thinking of are certainly possible, but more likely in the second half of next year. Is -- again is that a reasonable way to look at it? Or am I being too pessimistic?
Paul Travers: No, you're -- no, that's not bad. It's not that. We think that there'll be more like pilots in the first quarter and Q2, Q3 to Q4 and into the year after will be more substantial rollouts Jim.
Jim McIlree: All right, fantastic.
Paul Travers: Okay. Good.
Jim McIlree: Sorry.
Paul Travers: No.
Jim McIlree: All right. Well, thanks a lot guys, and good luck with everything.
Paul Travers: Thank you, Jim.
Operator: And we have no further questions in the queue at this time. I will now turn it over to Paul Travers for final remarks.
Paul Travers: Thank you very much everybody for joining the conference call. Enjoy your holidays coming up, and we look forward to sharing with everybody how the rest of the year goes on our first reporting next year. Knock on wood, if it keeps going like it is, it should be a very exciting end of the year, quarter for Vuzix and full year frankly, one of the best Vuzix has seen in probably quite some time. Thank you very much.